Operator: Good afternoon and welcome to Harris Corporation Conference Call. This call is being recorded. Beginning today's meeting is Pamela Padgett, Vice President of Investor Relations and Corporate Communications. Please go ahead.
Pamela Padgett: Thank you. Good afternoon, everyone, and welcome to our third quarter fiscal 2009 conference call. I'm Pamela Padgett, Vice President of Investor Relations and Corporate Communications. Also on the call is Howard Lance, Chairman, President and CEO; Gary MacArthur, Senior Vice President and Chief Financial Officer. A few words about forward-looking statements. In the course of this teleconference management may make forward-looking statements. Forward-looking statements involve assumptions, risks and uncertainties that could cause actual results to differ materially from those statements. For more information on a discussion of such assumptions, risks and uncertainties please see the press release and filings made by Harris with the SEC. In addition, in our press release and on this teleconference we will discuss certain financial measures and information that are non-GAAP financial measures. A reconciliation to the comparable GAAP measures is included in the tables of our press release and are on the investor relations section of our website, which is www.harris.com. A replay of this call will also be available on the investor relations section of our website. With that, Howard, I'll turn the call over to you.
Howard Lance: Thank you, Pam, and welcome to the Harris third quarter fiscal 2009 earnings call. I'm pleased to report we posted another good quarter of financial results in spite of the challenges and continuing uncertainties in some of our U.S. and global markets. We continue to expect the planned spinoff of Harris Stratex Networks later this month. So all of my comments today will exclude the results of Harris Stratex which beginning in our fiscal fourth quarter will be included as discontinued operations. Consolidated revenue was $1.21 billion in the third quarter, 5% higher than the prior year. Net income was $136 million and EPS was $1.02 per share up significantly compared to the prior year EPS of $0.78 per share. Although revenue and earnings were at strong levels for the quarter, new orders were weak declining 27% compared to the prior year quarter. While business performance continued to be solid at the government communications systems segment, orders at both the RF Communications and Broadcast Communications segments were sharply lower and are expected to remain below prior year levels for the next few quarters. Orders at RF improved sequentially in the third quarter compared to the second quarter but are running well below plan. Our guidance for fiscal 2010 now projects organic revenue at RF Communications to be well below fiscal 2009 as a result of slowing, near-term Department of Defense orders momentum and the stretching out of orders by the Iraq Ministry of Defense. The economic crisis and deficit spending has put tremendous pressure on DoD budgets. Combine that with other more immediate spending priorities and a lack of contract vehicles to procure our new Falcon III PRC 117G manpack and what results is DoD procurements that have slowed significantly. I'll spend a fair amount of time later in the call walking through each of the components of our fiscal 2010 EPS guidance of $3.10 to $3.40 per diluted share. While we clearly have opportunities to drive results above this range, we felt it was appropriate to establish initial guidance based on the recent actual order trends at RF and Broadcast. Beyond fiscal 2010 I believe that the company is well positioned to return to growth. We continue to invest in new products and complete acquisitions to expand into adjacent markets where advanced technologies and capabilities are discriminators. In addition to our broad base of products and programs that serve our core markets, we have six focused growth initiatives which target high growth markets around the core. These include public safety and cyber security, both of which were strengthened by acquisitions announced in April. The other growth initiatives are healthcare IT, managed commercial IT services, international communication systems and new media markets encompassing Digital Signage, mobile TV, other out of home advertising solutions and full motion video ISR applications for government customers. We'll have much more to say about each of these growth initiatives at our analysts meeting in New York scheduled next week on May 11th. Let me now move on to the individual segment results for the quarter. Revenue at RF Communications was $439 million in third quarter up 12% compared to last year. Operating margin remained strong at 34.5% of revenue. Revenue growth was driven by significantly higher international sales which represented 43% of total revenue in the quarter compared with 27% for all of fiscal 2008. U.S. DoD revenue remained at a high level but declined compared to a very strong prior year quarter. Year-to-date orders through the third quarter were $0.8 billion which is 37% lower than the prior year. We have revised our expectations for fiscal 2009 orders at RF to a much lower range of $1.2 billion to $1.3 billion with the book to bill ratio substantially below one-to-one. Organic revenue for this segment in fiscal 2010 is now expected to be significantly lower than fiscal 2009. Our outlook for the next year is much lower than it was just three months ago for two primary reasons. First we now believe that all but $50 million of the $250 million Iraq Ministry of Defense order opportunity has moved beyond fiscal 2010. Of course, we'll be working hard to pull in additional orders and revenue from the Iraq MoD, but for now we have discounted in our fiscal 2010 RF forecast. Second, we've been counting on a new $500 million IDIQ contract from the U.S. Army to form the foundation for their large scale deployment of the new Harris Falcon III PRC 117G manpack. We received the new contract in the third quarter along with an initial $148 million order for 117Gs. However the order was subsequently canceled, when it was determined by the Army contracts organization that the 117G could not be procured under the IDIQ contract in its current form. Senior Army leadership remains committed to fielding the PRC 117G radios in large quantities, to utilize its advanced features to benefit forces on the ground in Afghanistan, Iraq and around the world. But for now we've assumed a six to nine month procurement delay and have discounted our fiscal 2010 DoD orders and revenue outlook accordingly. The Falcon III 117G is the only currently fielded radio which meets the DoD future tactical communications requirements. It's the first and only radio in the market with wideband networking capabilities. It's NSA approved and approved as an alternative to the JTRS programs of record. It's already been combat proven in Iraq and Afghanistan and is deployed to all branches of the Department of Defense. It addresses the future MUOS TacSat requirements. It provides high bandwidth streaming video and reconnaissance information capabilities and it's about half the weight and size of legacy multiband manpack radios, which is increasingly important in today's mobile war fighting environment. In the third quarter, for example, we received an $18 million order for the new Falcon III 117G from the U.S. Air Force. The radios will provide battlefield airmen the able to receive live video feeds directly from various unmanned aerial vehicles, UAVs using the ROVER Waveform. This improves their situational awareness and responsiveness. Incidentally we are also nearing the introduction of a new lightweight hand-held ROVER receiver based on our Falcon III hand-held radio design. Also in the third quarter we received over $60 million in new orders for Falcon III multiband hand-held radios from multiple DoD customers and we received our first order from the Air Force for our new tactical intercom product for $14 million. Following the close of the quarter we received a $14 million order for the 117G from the U.S. Special Forces command. In the international markets demands continues to grow. Over the last several years the number and size of international standardization programs have been increasing and we've responded to these new opportunities with added resources to expand our international sales and support team. As part of a multi-year standardization program we were recently awarded a $45 million contract from the government of the United Arab Emirates. This is an example of our ability to expand our addressable market through a broader communication systems integrated offering. The UAE program incorporates Falcon II radios, our new Falcon III high capacity data radios, tactical broadband global area network or BGAN, SATCOM terminals and command and control software. On April 16th, Harris announced a definitive agreement to acquire the Tyco Electronics Wireless Systems business unit formerly known as M/A-COM. This acquisition gives us a huge jump start into the public safety communications market. This is a $9 billion global market with attractive long-term growth rates. The market has close adjacencies to the technologies in our tactical military radio market and is going through a similar transition to digital technology and open operating systems. The market is also moving to software defined radios that address multiple frequency bands, encryption types and which incorporate GPS capabilities for situational awareness. We've led all of these transitions in the military market. Harris solved the interoperability issue for U.S. Special Forces for than a decade ago and we are ready to lead now in the public safety market. The IP-based networks offered by M/A-COM combined with Harris leadership in multiband and software defined radio technology offers a distinct competitive advantage versus the established market leaders. We believe that customers are eager for a real choice in public safety communication systems. M/A-COM business which primarily targets customers at the state and local government levels also helps to diversify our business and product portfolio not only for RF Communications but also for Harris. Our government communication systems segment reported third quarter revenue of $649 million, up 7% compared to last year. Operating income in the quarter was strong at $74 million and 11.4% of revenue. During the quarter we continued to make good progress on the commercial reflector programs. Seven of the eight radial rib design reflectors have now been shipped successfully to customers. Work on the eighth reflector has been stopped at the customer's direction and unrelated to Harris. The two hoop design reflectors are progressing well and are still on track to be shipped in fiscal 2010. Revenue increased in each one of the segments four business units. Defense programs, national intelligence programs, civil programs and IT services. We have reasonable clarity on the government communications systems outlook for fiscal 2010 and see good underlying revenue growth and solid profitability. The government fiscal year budget submission was largely positive for this business. The F-35 Joint Strike Fighter is the cornerstone of our avionics growth plan and should provide a long-term revenue stream well in excess of $1 billion. The LCS and DDG build plans will help our Navy SATCOM business. Our recent win on the $600 million Army modernization of enterprise terminals or MET program also provides additional growth. Harris will design and replace the U.S. Army's aging strategic SATCOM terminals over the next 10 years. These terminals serve as the backbone for the high priority DoD and missile defense systems communications and the program maintains our ongoing position as a world leader in SATCOM ground systems. Also high within Secretary Gates priorities is increased spending for intelligence, surveillance, reconnaissance and counter terrorism. This is well aligned with our new cyber security focus. On April 16th Harris announced its acquisition of Crucial Security, a Washington DC area provider of cyber solutions. This is a very nice bolt-on acquisition for Harris that significantly expands our organic capabilities. Crucial is a major partner supporting federal law enforcement with 110 employees and cutting edge computer forensics capabilities. Computer forensics is used to extract and examine counterintelligence and counter terrorism evidence that maybe stored on computer hard drives or other digital storage media. You may also recall we recently signed an agreement with McAfee to resell their products and technical services to the Federal Government. McAfee is the world's largest dedicated enterprise security technology company and this agreement enables Harris and McAfee together to deliver the most advanced security solutions to all of our customers in the federal marketplace. The Crucial Security acquisition, the McAfee agreement and the recent hiring of Dale Meyerrose, former CIO for the National Intelligence Community, have squarely positioned Harris in a market that should see substantial funding and growth. Our IT services business also continues to expand its market scope and service offerings into selected commercial vertical markets. During the quarter the business was awarded a multi-million dollar 10 year contract by Florida-based Health First to provide network management and IT services for their enterprise operations. Health First operates three hospitals and multiple outpatient facilities. Contract includes software and hardware support, 24/7 network operation centers support, help desk, training and network security services. The IT services business is also pursuing major opportunities in the broadcast vertical market working on programs and new media technologies which McDonald's, the NBA's Orlando Magic and the content provider [SASME]. Finally another area that is high on the new administration's priorities is healthcare IT systems, their reduced costs and improve the quality of care. During the quarter we made additional progress in our healthcare solutions growth initiative. Harris was awarded its first one year option to its Nationwide Health Information Network CONNECT contract. CONNECT enables federal agencies and healthcare providers to quickly and securely exchange patient information. The Social Security Administration was the first agency to go live on CONNECT and it's already realizing significant reductions in time required to obtain medical records to support the processing of disability claims. Third quarter revenue in the Broadcast Communications segment was $132 million compared with $159 million in the prior year quarter. Operating income was $2 million compared to $7 million in the prior year. Ongoing cost reduction programs in the segment have helped to mitigate the impact of lower revenue on our operating results. Sales declined across all three of the segments' business units. The impact of capital expense reductions at customers was most pronounced in the infrastructure and networking business unit. Transmission system sales were modestly lower as a result of softness in the global radio market. Media and Workflow sales were essentially flat with weakness in U.S. and international traffic and billing software offset by higher sales of media server products. We're assuming the Broadcast Communications segment continues to see a tough U.S. broadcast market well into fiscal 2010 as TV and radio station groups continue to hold down capital spending on new projects until they see an improvement in their advertising revenues. International markets are somewhat better with pockets of strength mainly in emerging markets where infrastructure is aging and the transition from analog to digital is less far along. We have a diverse and expanding global base of customers and industry leading breadth in our product and system offerings. Eastern Europe, the Middle East, Africa and Latin America have aging analog systems that will eventually be transitioned to digital and our ONE Solution is ideal to meet their needs. The market cycle will rebound and we are well positioned to outgrow the market when that happens. At the recent National Association of Broadcasters show in Las Vegas, Harris made several important announcements related to new media initiatives. For example, we're set to begin a field trial with McDonald's this month to launch their branded TV channel. The trial includes 20 restaurants around the country and features Harris Digital Signage solutions and software to manage, monitor and play out digital broadcast quality video content for the in restaurant McDonald's channel. Systems will be designed and managed through a collaborative effort between Broadcast Communications and our IT services business. In another break-through application Harris has signed an agreement with the National Basketball Association's Orlando Magic to create a first of its kind advanced Media and Workflow solution at the team's new arena that will be opening in 2010. The solution combines IPTV and Digital Signage across the same network and will be built around file-based Workflows that merge broadcast technology with IT infrastructure. These systems will also be designed and managed jointly by Broadcast Communications and IT services. Let me now turn the call over to Harris' CFO, Gary MacArthur.
Gary MacArthur: Thank you, Howard. Q3 was another very solid balance sheet quarter for Harris. Excluding Harris Stratex Networks we ended the quarter with $340 million of cash, cash equivalents and marketable equity securities. Cash flow from operations was up by $50 million and capital expenditures were down by over $10 million as compared to the third quarter of the prior year. During the quarter we repurchased $50 million of our outstanding stock at an average price of $39.95 per share. Excluding Harris Stratex Networks return on invested capital increased 3% to 20% and return on equity increased by approximately 4% to 24% as compared with the 12 months ended the third quarter of 2008. Further, we have our entire $750 million revolving credit facility available to us with no long-term debt maturities coming due until October of 2015. Subsequent to the quarter end we announced that we completed the acquisition of Crucial Security for $33 million entered into an agreement to acquire Tyco Electronics' Wireless Systems business for $675 million. We continue to expect to close the Wireless Systems business acquisition by the end of our fiscal year and will fund this acquisition with a combination of cash on hand, funds available under our revolver and long-term debt. Let me now move to some of the details of the quarter. Cash flow generated from operating activities was $250 million as compared to $165 million in the third quarter of fiscal 2008 and all four operating segments generated positive operating cash flow. Our expectation for cash flow from operations for fiscal year 2009 continues to be in the range of $575 million to $625 million. Depreciation and amortization for the third quarter was $44 million as compared to $43 million for the third quarter of 2008. Our expectation for depreciation and amortization for fiscal year 2009 is now in the range of $175 million to $185 million. Capital expenditures were $30 million for the third quarter as compared to $41 million in the third quarter of fiscal 2008. Our guidance for fiscal year 2009 for CapEx remains between $140 million and $150 million. Excluding Harris Stratex Networks, our effective tax rate in the quarter was 31.4% and was lower than the U.S. statutory rate as a result of a favorable IRS tax settlement for fiscal year 2007. Our outlook for the full year tax rate for fiscal 2009 is now at 31.5% with an outlook for fiscal year 2010 of 34%, 1% lower than provided in our Q2 earnings call. However, the tax rate for any given quarter could vary up or down as a result of discreet tax events. Other areas of guidance for fiscal year 2010 are as follows. Depreciation and amortization in a range of $190 million to $200 million, capital expenditures including capitalized software in a range of $150 million to $160 million and operating cash flow of $525 million to $575 million. In summary, we expect to finish fiscal 2009 on a very strong financial foundation with expectations for another solid year in fiscal 2010. Back to you, Howard.
Howard Lance: Thanks, Gary. Let me conclude with the outlook discussion for fiscal 2009 and go into some detail about our initial guidance for fiscal 2010. In fiscal 2009 we now expect non-GAAP earnings per share from continuing operations, excluding acquisition costs, to be at the low end of our previous guidance range of $3.93 to $4.03 per share which still represents an EPS increase of 17% compared to last year. Revenue is expected to be about $4.9 billion, an increase of 7% compared to last year. RF Communications revenue is expected in a range from $1.7 billion to $1.75 billion with operating margin of about 34%. Government communication systems revenue is expected to be approximately $2.65 billion with operating margin in a range from 11% to 11.5% and Broadcast Communications revenue is expected to be in a range from $590 million to $600 million with operating margin of 4% to 5%. For fiscal 2010 we're providing our initial non-GAAP earnings per share guidance, excluding acquisition-related expenses, in a range from $3.10 to $3.40 per share with revenue in a range from $4.9 billion to $5.1 billion. RF Communications revenue is expected to be in a range from $1.8 billion to $1.9 billion with operating margin in a range from 25% to 26% and this includes the contribution from the acquisition of Tyco Electronics' Wireless Systems business. RF Communications revenue, excluding Tyco Electronics' Wireless Systems acquisition, is expected to be in a range from $1.3 billion to $1.4 billion with operating margin in a range from 32% to 33%. Please remember this is our initial RF estimates based heavily upon the recent order cancellations and delays which we've just encountered. Government communications systems revenue is expected in a range from $2.55 billion to $2.65 billion with operating margin in a range from 11.5% to 12%. Revenue from the FDCA program at the Census Bureau is expected to decrease from $350 million in fiscal 2009 to $120 million to $130 million in fiscal 2010, as our work on the 2010 decennial census nears completion. Government communication systems revenue guidance in fiscal 2010 if we exclude the FDCA program revenue in both years represents an increase of about 6% to 8%, higher than fiscal 2009. Finally Broadcast Communications revenue in fiscal 2010 is expected in a range from $565 million to $585 million with operating margins of 5% to 6%. So those are all the details in the guidance. At this point I'll ask the operator to open the line and we'll take your questions.
Operator: Thank you. (Operator Instructions). We will go first to Jim McIlree of Collins Stewart.
Jim McIlree - Collins Stewart: Yes, thank you and good evening. Howard, on the RF outlook for fiscal '10, actually not fiscal '10 but beyond that. You say you're looking for growth beyond that. So I'm assuming you are thinking that would get the 117G Army issue cleared up by that point. Actually the first part of that question is what did the Army find unacceptable that they canceled that order? What's going to make it and what gives you confidence that they're going to find it acceptable at some point?
Howard Lance: Well, let me deal with that and then I'll go back to your other question, Jim. The original contract justification was done for the 117F. The Army believed that they had enough flexibility when they placed the order with us to include the 117G. After review the contracts organization changed their mind and so they canceled the order. It's a delay. It's not anything more than that. I'm very confident based on the feedback we've been receiving not only at the command level with all of our people with customer forces around the world, but at the senior levels of the Army that they are very committed to utilizing the capabilities of the 117G. It really is significantly more capable than any legacy multiband manpack radios including our own Falcon II 117F. So it's really just a question of timing. We're obviously going to do everything we can to recapture not only the original order, but the entire $500 million contract ceiling just as soon as we can. At this point given that order cancellation we just didn't feel we could count on that in our guidance and were either forced to delay providing guidance or to provide guidance at a relatively lower level. As a result of that and the stretching out of the Iraq Ministry of Defense orders. Does that make sense?
Jim McIlree - Collins Stewart: Yes, it does. So when you look at the fiscal '10 numbers, you're taking it sounds like maybe a couple of hundred million out for the 117G Army and then I am just ballparking like 100 million or so for Iraq. Would that be round numbers, about right?
Howard Lance: I think so. I think the way I would articulate it is three months ago we said we thought we would struggle to get to a one-to-one book-to-bill, especially if that Iraq order moved but at that time we were still feeling pretty good about growth in fiscal '10. So if you take our guidance range now for '09 and compare that to our guidance range for '10, I would hang essentially all of our reduction to these two factors in terms of what changed in our point of view over the last 90 days.
Operator: We'll go next to Jason Kupferberg, UBS.
Jason Kupferberg - UBS: Thanks. Just a follow-up on RF Comm. Did you indicate what your forecasted book-to-bill would be in that segment for fiscal '10? I mean obviously we got the revenue piece.
Gary McArthur: No, I didn't specify, but I think it's fair to say given our current view of order rates that I provided for fiscal '09 we're going to end the year with a relatively low backlog. So one would expect in the year following that, Jason, that your book-to-bill would be at or above one regardless of what kind of guidance you gave for orders. The backlog when we exit this year will be let's say, $550 million approximately and that's about the lowest level of backlog that we operate with in a business of this size.
Jason Kupferberg - UBS: Okay. Then for fiscal '09 the order outlook for RF Comm I guess seems to imply a pretty big June quarter spike if my math is right. What's driving that?
Gary McArthur: There are lots of orders in the queue. We talked about year-to-date orders of about 800 million and we're providing guidance of 1.2 billion to 1.3 billion for orders in '09. So that suggests we're looking at 400 million to 500 million from lots of different sources, both U.S. DoD, various services as well as international.
Jason Kupferberg - UBS: Okay. I mean is there visibility pretty high on that? I mean I guess there would be no reason for you to be overly optimistic just given everything else that's going on. So I mean have you closed a fair amount already in the June quarter?
Gary McArthur: We talked about several orders that we got after the quarter ended. So we have some momentum. All I can tell you, it's our best estimate based on where we sit on, May the 5th. We still got orders to book obviously to reach the 1.2 billion to 1.3 billion for the year.
Jason Kupferberg - UBS: Okay. And sorry, just one follow-up on the 117G question with the IDIQ. I know you said the Army contracts organization determined that the vehicle could not be used. I mean, I guess it sounds like there's some kind of technicality here essentially that blew up this order. I mean do they have to go back and create a whole new IDIQ specific to the 117G or are they going to try and issue the order under some other more flexible contract vehicle that the Army currently has? What's the procurement strategy there?
Howard Lance: The Army has lots of options available to them including both the ones you mentioned, as well as putting a completely new vehicle in place. So I think they're looking at alternatives. At this point we don't know what they'll decide to do, but it's very clear that they are being asked to go find a procurement vehicle to buy these radios because of the capabilities and we think that support is important. We're disappointed obviously about the timing.
Operator: We'll go next to Myles Walton, Oppenheimer & Co.
Myles Walton - Oppenheimer & Co.: Thanks. Good afternoon. I was hoping, Howard, you could comment on the Army's long range tactical radio strategy, your report that came out in the last couple of weeks. Can you kind of provide us your insights as to as you read it and as you kind of think about it what it meant for Harris? Anything incremental that you took away from the report and the strategic direction they're looking to go?
Howard Lance: Well, I was encouraged, Myles, by several aspects of it, especially what I would refer to as the strong commitment to fielding wideband tactical networking capabilities throughout the force. Obviously that report at this point is still looking towards the two programs of record to provide that. We obviously represent a real immediate immediately available alternative to those and our strategy continues to be to position ourselves as a better value alternative. I think this plays directly into Secretary Gates view of what he's referred to as the 70% solution as it relates to Falcon III and JTRS. I think it's more like a 90% solution as we continue to add capabilities and functionality to the radio such as the work we're doing on the MUOS Waveform for tactical satellite capabilities. So I view this as a positive report because it absolutely reaffirmed the path they're on. Now our challenge is going to be to work with the Army to do two things. Number one, to convince them that we are a more viable alternative and number two, to accelerate some of the fielding and the funding that would allow that as opposed to the current schedule that's underway. So I think it helped to really clarify our challenges, but I thought it was very positive in reaffirming the need for these kinds of radio capabilities to serve the mission requirements of the Army.
Myles Walton - Oppenheimer & Co.: Okay. Now that's helpful and then I guess to clarify on the guidance for fiscal '10, what is the GAAP guidance for fiscal '10? How much of acquisition expense is included or excluded from the number?
Howard Lance: At this point we're still trying to finalize those numbers. Gary, do you have that?
Gary McArthur: Yes. It's ballpark, it's around $50 million which includes R&D and process write-off, inventory step up, the cash amount isn't nearly that high, but it hasn't been finalized yet and that's why we've preferred not to go out with an exact number at the moment. Ballpark was $50 million in total expenses relating to those types of items plus whatever other items we were going to do with regards to restructuring the guidance.
Howard Lance: We're just making it clear that the acquisition-related costs are excluded from our non-GAAP guidance but that's it.
Operator: We'll go next to Gautam Khanna, Cowen and Company.
Gautam Khanna - Cowen and Co.: Hi, thanks. You mentioned on the RF side some timing delays. Can you help us interpret the '09 supplemental request which, if you add the radio budget, accounts are down substantially from '08, why we should think it's just timing and not maybe a [diminished] drop?
Howard Lance: Well, again I'll repeat what we've said before on that front, that if you go looking for a line item that says Harris tactical radios in any DoD budget supplemental or the core palm, you're not going to find that. There are multiple locations throughout the DoD's billions of dollars of procurements that allow them to buy tactical. We certainly have talked in depth in my prepared statement about pressure on the budget. So there's no question that that is also a force that's at work here, but I described earlier our change in view from today versus 90 days ago can be squarely attached to those two changes in the DoD and the Iraq Ministry of Defense orders. Whether our outlook [in up] turns out to be correct or not, I don't know but I think it's fair to say based on our comments today that we have tried to be relatively pessimistic based on recent events in setting a core RF Comm revenue target next year of 1.3 billion to 1.4 billion. In that number we're assuming continued growth in the international revenue side. So we've obviously set the bar quite low as it relates to DoD procurement of tactical radios and I'm obviously hopeful and our team will work hard to beat these numbers. I'm hopeful that this will turn out to be too pessimistic as we go through the year, but that's kind of the current views and it's a combination of specific orders, budget pressure as well as the inability to have enough contract vehicles in place to advance the Falcon III manpack at the rate that we want. If you looked at again 90 days ago view versus now, principally our reductions have been in the Falcon III manpack with a small reduction in the Falcon III hand-held based on a competitive procurement that was lost.
Gautam Khanna - Cowen and Co.: Agreed. Maybe I don't understand, but are you suggesting that we should look at the radio HF cost line item in the supplemental and the marine radio systems line item and interpret nothing from it? I mean what [increment is] down 70% year-on-year and I'm just curious are you suggesting we should interpret that that is not a proxy for some of the funding lines that drive your business in RF?
Gary McArthur: No. Clearly they are two of the funding lines, but they are not all of the funding lines that drive the DoD portion of the RF business. That's all I'm saying. Clearly we expect and again I've been about as clear as we can be and transparent that we expect DoD revenue to be down significantly next year compared to this year. Those are a fraction, Gautam, of the total dollars that will be spent with Harris by the DoD.
Gautam Khanna - Cowen and Co.: I appreciate that. Could you maybe quantify the split of what your expectations are for DoD in your RF assumptions next year after the Tyco acquisition and what the international piece is in terms of percentage of sales? Any sort of color would be useful, DoD, international.
Gary McArthur: The DoD is expected to be less than 50% and international would be greater than 50% on a revenue basis based on our current guidance.
Gautam Khanna - Cowen and Co.: Okay. And may I ask a follow-up just the margins in RF have been, are very good, very strong and with the lower volumes should we expect some absorption issues as we take down or I mean how sensitive are your incremental margins to production rates if indeed volume is coming off next year?
Gary McArthur: Our guidance indicates margins going from about 34% this year to 32% to 33% next year given the magnitude of the revenue drop. I think that's a very good performance by our team and will require them to certainly implement additional cost reduction actions as well as manage their operations very closely. So with this kind of a drop to only lose one to two points in operating margin I think is excellent performance.
Gautam Khanna - Cowen and Co.: Is there something about the mixture with international? Do they command higher prices or something that provides you with an offset on the top line?
Gary McArthur: Generally speaking we've said international margins are usually a little bit higher. It's also a function of the mix of products as we said before. So I suspect we're getting a little bit of favorable mix but not a huge amount in achieving this forecast.
Operator: We'll go next to Chris Donaghey, SunTrust Robinson Humphrey.
Chris Donaghey - SunTrust Robinson Humphrey: Hi, good evening, Howard. This may be a little bit of a sensitive question to answer, but I wonder if you can help us with understanding how the Army was anticipating using these Falcon III radios? Can you just give us a sense for where they were going to go? I know we're talking now about some early spinout type of activities for some of the [brigade] combat teams. To the extent you can talk about it can you walk us through the usage scenarios for the $148 million order?
Howard Lance: I'm sorry, Chris, I probably don't have enough background to do that. I certainly know that there's a lot of activity related to ongoing operations in Iraq and new expanded operations in Afghanistan. A lot of activity around intelligence surveillance, reconnaissance and the ability for our radios to be used to download video as we talked about using this ROVER Waveform that we've ported to it. Beyond that in terms of which specific, you know, divisions are going to be receiving this first tranche I'm sorry, I just don't know that. Presumably it's going to go, in the harm's way into those areas where they can get the greatest benefit from it.
Chris Donaghey - SunTrust Robinson Humphrey: Okay, great. Obviously you have some pretty optimistic expectations for the pipeline as it stands right now. Are there any particular large orders that you're tracking in the international market? What do the concentrations look like for that new orders you're expecting?
Howard Lance: Well, there are a number of orders I would say in the $50 million to $100 million range I think for competitive purposes. They're sensitive and I won't be able to talk about individual countries, but there are a number and again in the longer term we still believe there's $750 million of total opportunities to the Iraq government both the Ministry of Defense and the Ministry of Interior. We've gotten some MoI orders. We've been disappointed in the stretching out of the MoD orders, but lots of opportunities there. You look around the globe. You continue to see opportunities in Pakistan, Central Asia, the Middle East, Northern Africa, Latin America. Our international team has I think the broadest list in terms of just this year number of different countries and programs that we've ever had. I'm also very pleased with the progress we're making in going beyond just selling radios and into the more integrated communication systems. We highlighted the UAE project and we have a number of those like that on the books. So lots of opportunity, but, balanced with certainly some near-term slowing and disappointment in the DoD space.
Chris Donaghey - SunTrust Robinson Humphrey: Okay. And one last question. Do you see the new MATV vehicle program as a significant opportunity for you as well? Thanks.
Howard Lance: Well, I think we would expect to do very well on that program in the same way that we did on the MRAP programs. We were standardized on the MRAP with the Navy, with the Marine Corps, with the Air Force and had very high penetration in the Army vehicles. So I believe we're going to do very well on that positive more all terrain vehicle as they spin that up and quickly try and deploy it.
Operator: We'll go next to Ted Wheeler, Buckingham Research.
Ted Wheeler - Buckingham Research: There was an announcement, I guess, three or four weeks ago about another Falcon III order from the Army that's been protested and I'm just wondering is that order in any of your thinking in guidance and if you could add some color to the issues surrounding that issue?
Howard Lance: I'm not aware of any other issues with orders, Ted, other than the order under the $500 million IDIQ contract that I've referred to here.
Ted Wheeler - Buckingham Research: That's not an order that was under protest from a competitor. That's an order that's been held up because the Army is finding a contract vehicle to proceed?
Howard Lance: It's my understanding that a competitive protest may have prompted the Army to look at that contract and ultimately change their mind on it, but that's really all I know about it, but there's not another one that I'm aware of.
Ted Wheeler - Buckingham Research: What would be sort of the timetable for that issue to move toward conclusion one way or the other?
Howard Lance: Well, the protest has been withdrawn and the Army presumably concluded that they had gone too far in the procurement and releasing the order to us and that's why they canceled it. So how long it will take for us to rebook that order through another means, I don't know. We've assumed again we hope conservatively that it's six to nine months and again, it's not just that order, but then it's the rest of the $350 million to get up to the whole contract ceiling.
Ted Wheeler - Buckingham Research: Right, right. How much of that thinking is in this thought that perhaps a positive book-to-bill ratio next year? Do you need, the restoration of that order? Do you need movement toward the $500 million? Where does that fit into the idea of a positive book-to-bill ratio for '10?
Howard Lance: So we have a process where we look at the entire funnel of opportunities and go through them and make various judgments about the probability of them coming through the funnel and our receiving orders. Between the process 90 days ago and now we have placed a much bigger discount on that entire $500 million IDIQ contract. I couldn't tell you exactly what number is in our outlook for a given order, but we have discounted it significantly in our view that we're giving today for expected guidance for next year at 1.3 billion to 1.4 billion in revenue. Going forward in '10, new orders essentially will be over revenue because again we're starting with a level of backlog which can't go down. It's really kind of as low as you can operate at. So they'll be that relationship at a minimum of one-to-one next year. Obviously we're very hopeful it's well above one-to-one and we can start driving growth then in '11 and '12 as we've indicated. I still think there are lots of opportunities in this market, so we view this as a delay. Again we haven't lost any business. Maybe that's the source of greatest frustration for us is this really is bureaucracy. Here you have a customer that wants to buy this very advanced radio. The government didn't spend a penny to develop it and the contracts process isn't allowing that. So such is life and we've had to adjust our expectations but our teams will be working very hard to support the customer to find another way for them to procure the radios from us.
Ted Wheeler - Buckingham Research: I know it's very early days but on the M/A-COM business is there any feeling about book-to-bill over the next 12 months? Do you think it will be plus one, minus one or just how do you think that business is shaping up? I assume you're starting to work pretty hard on it.
Howard Lance: Yes, we're doing what we can. Of course, we haven't closed, so all we can do is plan at this point. We have in our guidance essentially indicated that we are expecting about $500 million of revenue from the acquisition in the fiscal '10 segment guidance. With regard to book-to-bill, I don't really have anything on that for you other than some color that says that orders continue to be booked at a very good rate during this calendar year. Their last quarter it's my understanding was another good quarter for new orders and it's a data point and it's subjective. The level of phone calls that we've had from existing customers and potential customers reaching out to us with very, very positive feelings about the combination of Harris and M/A-COM, I think has made us feel very good about this move and the potential. We have to deliver and certainly as we said when we announced the acquisition, there are some headwinds with regard to state and local budgets. Having said that, the stimulus bill has a lot of money for state and local in it. We hope some of that flows to rebuilding and enhancing public safety communications. You can certainly expect going forward we'll spend hopefully a fair amount of time on these calls and in our investor briefings talking about the public safety business. We certainly have very high expectations for what we can do with the business over the next three to five years. We have to realize we are not going to change the competitive dynamics in a quarter, but in the long run we think this is exactly the right place for us to be investing.
Operator: We'll go next to Steve Ferranti, Stephens, Inc.
Steve Ferranti - Stephens, Inc.: Thank you, good evening. Howard, wondered if you could give us a sense of your view of when you think the official JTRS program of record manpack radio might get fielded. I guess to what extent, do these delays potentially start pushing you into an area where, potentially you're not the only JTRS compliant manpack solution on the market?
Howard Lance: I'm probably not aware of any specific production dates, but I still believe there's no production of any real quantities planned for manpack radios before 2012. So yes, if this delay were to go on for several years, you could have a point, but it's not like we're fielding zero radios. We're still fielding radios and it's just not at this high level of engagement. I feel like we will be successful in getting large quantities fielded with the Army and that is going to have a significant long-term impact on the balance of future procurements between the programs of record and the Harris COTS radios. My view is that if there are competitors taking actions and protesting something when they do not have a product to supply that implies to me someone is very concerned about our products and about the competitive advantage we've established in the market. Time will tell but while I don't like the result, to me it just simply reinforces that we're absolutely on the right track.
Steve Ferranti - Stephens, Inc.: You referred to the Falcon III as a 90% solution I think before. Can you walk us through perhaps, what the 10% gap is to get you to a full solution? Perhaps also, where do you see advantages of Falcon III either in terms of cost or size? I think that would be helpful.
Howard Lance: Again I'm probably, I don't have a level of expertise to get into too much technical detail, Steve, but probably the most single differentiation right now would be the number of channels. So ours is a single channel radio. The requirements under the HMS program is a two-channel radio and the requirements under the GMR program is a four-channel radio. So that's the biggest requirement. My view is that the other capabilities related to the porting of things like the MUOS Waveform, the SRW Waveform which is not fully released yet and the WNW, wideband networking waveform which is not close to being released, those would all be specs as well under the programs of record. There's no reason why we won't be able to port those waveforms into our radios once they are finalized and available. So that's why I talk about it in terms of the 90%. We'll keep adding capability and functionality to it and ultimately if the customer wants, we certainly can develop a multi-channel radio. There are we believe inherent lower costs. We'll have an inherently lower cost to deliver these radios than the programs of record and I think we have illustrated that already with what you could pay for four Falcon III manpacks compared to one four-channel GMR radio under the program of record. So there are significant advantages that we have in costs. You know, we're a commercial company and we have commercial manufacturing processes and mindsets. The RF team has taken significant costs out of our products over the last several years and again I think that that puts us well ahead on the cost experience curve that will be very difficult for others to catch up. At the same time we have pretty high expectations for profitability and that's the reason we'll keep driving down those costs so that we can also deliver high levels of cash, cash income to the business.
Pamela Padgett: Operator, we'll just take one more question. I know there's quite a few people in the queue and I'm sorry to cut it off, but we're going on over an hour. We will see you on Monday, May 11th, in New York at the Essex house at 1:30. So we can certainly answer your questions then. Operator?
Howard Lance: We'll have others on the management team who obviously can answer some of the more detailed questions that you've asked about the Falcon III and other features.
Operator: We'll take our final question from Chris Quilty, Raymond James.
Chris Quilty - Raymond James: Thanks. Just a clarification on the guidance you provided for fiscal '10 RF Comms. If kind of back into the blended operating margins of 25 to 26. It seems to imply about a 5% to 10% operating margin for the acquired Wireless Systems business unless I ran those numbers wrong. Is that just the impact of amortization on the business or is there something else?
Howard Lance: You got it about right, Chris. It's about 8% to 10% income. There's around $25 million, $26 million of amortization of intangibles assumed in that number, so that's about five points. So that would put you in the 13% to 15% cash earnings and we talked about our belief that this can be a 20% kind of EBITDA business as we get up and get our cost reductions and synergies in place over the next couple of years. The other way to triangulate in on this is we said on the acquisition call that this acquisition would be only slightly accretive and if you look at that kind of margin and compare it with our costs on the debt for the deal, you get a few pennies, maybe $0.03 to $0.04 or so of contribution next year at the GAAP line. Obviously on a cash basis it's more profitable and will contribute to cash flow and again we're going to work very hard to try and accelerate cost reductions and synergies and perhaps we'll be able to do better than that. This guidance is consistent with our previous guidance on profitability in year one for the acquisition.
Chris Quilty - Raymond James: Okay. Just wanted to make sure there wasn't any change in there. The 50 basis point improvement range for the government business operating margins 11.5 to 12 up from about 11 to 11.5 this year, is that just lower margin FDCA falling off?
Howard Lance: No. It's predominantly the expectation that we don't have any more new commercial reflectors coming into the equation. The commercial reflector pipeline is relatively dry at this point as a lot of those companies are not able to get funding to do additional launches. We think it will come back, but we don't see much in the next 12 months. So that's the primary item that's allowing that improvement is the improved execution of the rest of the programs.
Pamela Padgett: Thank you, everyone, for joining us today.
Operator: And that concludes today's conference. Thank you for your participation.